Operator: Welcome to Tucows Inc., first quarter and year end 2007 conference call. I would like to advise everyone that this conference call is being recorded and we will now turn the call over to Leona Hobbs. Please go ahead Leona.
Leona Hobbs: Thank you, operator. I will start with a clarification. This is the first quarter 2008 conference call. Good afternoon and thank you for joining us today. With me is Elliot Noss, our President and Chief Executive Officer; and Michael Cooperman, our Chief Financial Officer. Earlier this afternoon, Tucows issued a news release reporting our results for the first quarter of fiscal 2008. The news release and other information are available on our website at about.tucows.com and just click on Investors. Before we begin today, I would like to point out that the matters we will be discussing include forward-looking statements, and as such, are subject to risks and uncertainties that could cause actual results to differ materially. These risk factors are described in detail in our documents filed with the SEC, specifically the most recent reports on Form 10-K and 10-Q. We urge you to read our securities filings for a full description of the risk factors applicable to our business. I would now like to turn the call over to Elliot.
Elliot Noss: Thanks, Leona. Good afternoon and thanks for joining us today. On today's call, I will provide an overview of our business during our first quarter ended March 31, 2008. Mike will then review the financial results before returning the call to me for a discussion of our growth opportunities. Turning to the first quarter: Revenue for the first quarter grew by 5% compared to the first quarter of last year to $18.7 million, which I will note is the second highest revenue total in our history. The highlights include the domain portfolio, services revenue up 9% sequentially and 42% over the first quarter of 2007. E-mail migrations are on track and are to expected to finish toward the end of Q2 as expected, with material, financial benefits. Traditional Domain Registration showed the benefit on a unit basis of last year's price drop and resale revenues were up 7% sequentially and 36% over Q1 '07. Our results for the quarter were in line with our expectations and while the net income and the cash generation may not appear strong when compared to previous periods, I would like to stress that we continue to expect these numbers to be comfortably up year-on-year as a benefits of our work pays off. I would now like to review our progress by revenue source. First the Domain Registrations, the price reduction on the Domain Registration we implemented in August of 2007 is having its intended impact, as evidenced by the increase in transaction volume during the quarter. Renewal transactions are up 18% year-over-year, new transactions from small resellers to whom the price reduction was targeted, are up 15% year on year. This is a very positive turn around for us in this business segment where we had previously been losing business. Most importantly we have had an increase in deals won during the quarter. The Domain's pipeline is bigger than it has been in quite some time and is growing. Our largest competitors in this segment have all moved further away from wholesale to retail, media and corporate services, allowing our focus on this segment to have greater impact and benefit. In the numbers, you will start to see this progress in the second quarter and especially the latter half of the year when the year-on-year comparisons no longer have the large impact of our price cut. Next are Domain portfolio. This continues as the part of the business the highest growth for the next one. Last quarter we talked about progress in our plans to put a regular sales process in place for direct navigation names. Those names we felt did not have a huge appeal for small business but which generated advertising revenue. To day we disclosed our first transaction under the new process. We sold roughly 3700 names for a little under $1 million. This revenue will be recognized in our second quarter of fiscal 2008. This was a little bit a catch-up transaction, making up for the fact that it was a first such sale of the year. Thus, most of this could be thought of, in a sense, as Q1 revenue. Our process has been validated by the buyers in this subcategory. We have not only concluded the transaction and nailed down the transaction process, but we now have buyers ready for more. We have some who set on the side lines in the first sale and are now eager to get in. This is a very important as the regular sale of direct navigation names provides meaningful certainty to the revenue stream for this segment. We believe we have now created the most efficient means of monetizing the expiring domain name stream of any registrar. This makes the increased volumes and wins in our traditional domain registration service that much more lucrative and synergistic. The direct navigation portion of this business is up 45% year-over-year and 23% sequentially. The move to a new supplier in Q4 last year continues to provide benefits. Remember that when we make a sale of direct navigation names, like the large sale we made last June, or the one we just made, it has the effect of holding down direct navigation revenue so discrete increase is even more impressive. Last quarter, we discussed our plan to have a sales resource dedicated to selling premium names and gems. We are now up and running and expect this effort to begin contributing in the second half of the year. We are very pleased with how Domain Portfolio Services are shaping up. It is a great example how strong financial progress, invariably follow strong operational progress by a couple of quarters. Domain Portfolio Services should continue to show great growth for years go come. It is clearly the growth engine for Tucows for 2008 and looks well up to the task. On to our email business, we made fantastic progress this quarter in migrating from our old email platform to the new one. We are down to just a few of the largest customers and expect to be completed around the end of the quarter. Our email platform is now more reliable, more scalable and much more efficient to operate. All of that nice for us and for customers, but what about investors? First, the savings in data centre and bandwidth. Average data center costs in the first seven months of this year will be roughly $290,000 per month. In the last five months, it will be less than $90,000 per month. In fact, data centre and bandwidth costs in 2007 last year were in the range of $3 million for the full year. For 2009, they will be in the range of only $1 million. Second, CapEx in the second half of the year will be around $1 million. It outreached nearly $2 million per half for 2007 and the first half of 2008. Third, and most importantly, the sales pipeline is extremely encouraging. I noted three quarters ago, that our sales group was finally able to start going out and building a pipeline again. Since November of last year, the email sales pipeline has more than tripled. It is now the highest it has even been for email by a fair bet. Equally importantly, the first customers have come out of the pipeline and on to the new platform. Our ability to cost effectively bring their customers from their old services to our new platform are now a key success factor in winning business. Lastly, during the quarter, we also launched our Personal Names Service, which allows our resellers to offer their customers personal email addresses and websites using their own last name. We believe this is one of the stickiest Internet services available and the renewal rates we see for this service in our retail business demonstrate this fact and encourage us at the wholesale level. Our fourth area is retail. This business performed well during the first quarter, up 36% year-on-year, with over 55% of that coming from organic growth. Most importantly, later this month, we expect to relaunch our retail services. Over the last 18 months, our retail business has grown through the additions of retail customers in the net identity and IYD transactions. Neither of those acquisitions was focused on those retail customers, but they did and do provide positive economics. At the end of it, we found ourselves operating seven different hosting tools, two email systems across three different unrelated brands. Later this month, we expect to launch our new retail service in beta. This service would eventually unite all of our retail customers under a single new brand and we will do so with what we think is an exciting spin on retailing Internet services. As part of this strategy, we announced yesterday that we sold most of our shared hosting subscribers to Hostopia. Let me help folks to understand that a little better. Each of the three retail brands, Domain Direct, Net Identity and IYD, primarily sell and sold domain names and email. However, each of them had a small hosting component, none of which were more than around 10% of the customers of each brand. Not only were these hosting offerings “me too” offerings, but there were, as I noted before, a great number of different ones across the three brands. This was difficult to market, difficult to achieve synergies across the customer bases and especially difficult to support. In working out our new retails strategy, we are very excited of taking a clean approach to the domain names and email, what we think it takes a fresh look at the way people now use the internet. That made these hosting asset non strategic and we were pleased to both find them in good health and generate some cash in the process. This sets up for a very exciting second half of the year for the retail business, that should include and even more improved financial performance. I will now turn the call over to Mike, for a detailed review of our financial results.
Mike Cooperman: Thanks Elliot. As we anticipated our results for the first quarter were negatively impacted by the three factors. Continued strength of the Canadian dollar, price reduction that we implemented on wholesale Domain Registrations in the third quarter of last year, that are competing the increasingly competitive market, and the cost of maintaining multiple email platforms as we continue to transition our customers to our new email service. Net revenue for the first quarter of fiscal 2008 grew 5% compared to the same quarter of last year to $18.7 million, which is our second highest revenue total ever. Growth in revenue was primarily the result of higher Domain Name Registration revenue, Domain Portfolio Service revenue and Retail Services revenue. Cost of revenues including network costs for the first quarter increased by 16% to $14 million and primarily reflects our lower margins following the price reduction on wholesale domain names and the higher registration fees we are paying as result of the 7% registry price increase from October last year. In addition network costs were $92,000 higher than the first quarter of last year, mainly as a result of the additional labor, band width and co-location costs we incurred in the first quarter of this year, as we continue to carry multiple systems at our data centers or our Hosted Email Service. However, as a result of the reversal of an accrued in the first quarter of last year in the amount of $220,000 with some network operation programs that we have set-up in prior periods and choose not to pursue. With respect to the costs associated with the multiple Email platforms as Elliot discussed we are now in the last stages of migrating our customers to our new Hosted Email platform. Our new data center is up and running. With the migrations nearing completion, we expect to realize the benefits and considerable savings we have mentioned here on prior calls during the second half of this year. Gross margins for the first quarter was 25% compared to 32% in the first quarter of last year. The decrease was primarily the result of the impact of the Wholesale Domain Registration price reduction and to a lesser extent on factors like the impact of high network costs due to our carry multiple Email platforms and the increased cost associated with our portfolio Domain names. I think it is worth noting that we are expecting the year-over-year impact from the price reduction to be lower in the second quarter as a result of seasonality and even lower in the third quarter when the price reduction will have been in place for a year. Looking at gross margin contribution for each of our revenue sources: Gross margin from traditional Domain Name Registration services for the first quarter decreased to $2.9 million from $3.2 million for the same quarter last year. Mainly the result of the price reduction I mentioned earlier, this is impacting both our new and renewal transaction volumes. We expect that given the high level of scalability, and the synergies with the domain portfolio services, this increased volume will have a positive impact on profitability as we move forward. Gross margin from domain portfolio services increased to $727,000 from $537,000 from the same quarter of last year, primarily as a result of our larger domain portfolio and greater rigor in the selection, retention and reporting process. Gross margin for Email services was $1.5 million compared to $1.9 million for the corresponding quarter of last year. As you know, our focus is on the service provider community rather than on the enterprise customer. Accordingly, where we have thought it uneconomical, we have chosen not to price compete with enterprise customers that we acquired with the critical path transaction but instead maintain pricing. In addition, as Elliot has stated on previous conference calls, we have been reluctant to add new customers to the new platform in the midst of an ongoing migration to ensure the best possible transition for our existing customers. With the progress we have now made, the email service team has reengaged and have already built an impressive pipeline and we have started adding customers to the new platform. Gross margin from retail services increased to $1.1 million from $801,000 for the same quarter last year. Primarily contributing to this growth was an increase of $200,000 from provisioning personalized email through our portfolio surname-based domain names and to a lesser extent the increased volume from the acquisition of IYD in July of last year. Gross margin from Other Services for the first quarter fell to $1.3 million from $1.5 million for the first quarter of last year, primary as a result of the decreased $238,000 in content revenue. The decrease in content revenue primarily reflects the contraction in the yield from our syndicated Google feeds, and to a lesser extent, lower advertising revenues through our website. Total operating expenses for the first quarter increased by 11% to $5.5 million or 29% of net revenue from $5 million or 28% of the net revenue for the same quarter of last year. Core operating expenses on a dollar basis were essentially flat compared to the same quarter last year at $5 million and down slightly as a percentage of net revenue to 26% from 27%. As a reminder, we define core operating expenses as cost relating to ongoing sales, marketing, development and administrative costs. Other operating expenses increased by $484,000 to $650,000 or 3% of net revenue from a $166,000 or 1% of net revenue for the first quarter of last year. The increase is primarily the result of three factors. Let me begin with foreign exchange. As you know, our objective in managing our exposure to the Canadian dollar is to minimize foreign exchange risk by achieving some certainty with regard to our costs by entering into foreign exchange contracts from time to time. For fiscal 2008, we entered into a series of forward plus contracts with the notional value of $18.9 million, whereby $900,000 is converted into the Canadian dollars on a semi monthly basis for the period ending December 31, 2008. During the first quarter, we recognized the loss on forex transactions of a $135,000, inclusive of a loss of $255,000 on the change in the fair value of the forward exchange contracts that was still outstanding at the end of the quarter. Second, amortization increased by $152,000 to $385,000, primarily as a result of the acquisitions we have made. Lastly, during the first quarter of last year, we reversed an accrued in the amount of a $137,500 was some marketing programs that we have set-up in prior periods and decided not to pursue. With regard to the impact of the Canadian dollar on our results, as I mentioned in our last conference call, we expected depreciation in the Canadian dollar to have a dampening effect on our results for 2008. In fact, I quantified that if the Canadian dollar remain more or less at parity with the U.S. dollar through 2008, the operating expenses would increase in 2008 by roughly $1.5 million compared to 2007, all other things being equal. We will give you an idea of the impact of Canadian dollar actually had on the quarter relative to last year. If we convert our Canadian dollar first quarter expenses at the prevailing rates during the first quarter of last year, our cash flow and bottom line would have been nearly $800,000 higher. Going forward, as the Canadian dollar kept appreciating through the year, we expect that the impact from the Canadian dollar will steadily decline. Adjusted net income for the first quarter of fiscal 2008 was $1 million, compared to $2.4 million for the first quarter of fiscal 2007. Net loss for the quarter was $1.1 million or $0.01 per share, compared with net income of $749,000 or less than $0.01 per share for the corresponding quarter last year. Turning to the balance sheet, cash, cash equivalents and restricted cash at the end of the first quarter was $7.5 million, an increase of $1.7 million, compared to $5.8 million at the end of the first quarter of last year and a decrease of $587,000 from $8.1 million for the fourth quarter of last year. This decrease in cash compares the fourth quarter of last year is primarily the result of our investing $212,000 in acquiring additional equipment and repaying of the capital portion of the bank loan by $479,000. These uses of funds were partially offset by the $117,000 cash we generated in cash flow from operations. I would like to note that outside of a [mine use] of $133,000 of funds to fund cash flow of operations in the third quarter of 2006, this was our 26th consecutive quarter of positive cash flow from operations. Deferred revenue at the end of the first quarter grew to a record $53.6 million, up 12% from $48 million at the end of the first quarter last year and up 6% from $50.6 million at the end of the fourth quarter of last year. In closing, I would like to reiterate that for the reasons we have already stated, we do not believe that our results of the first quarter will be indicative of our financial performance for 2008. As a result, we continue to expect to see growth in revenue, profitability and cash flow in 2008, compared to 2007. I would now like to turn the call back to Elliot.
Elliot Noss: Thanks, Mike. If I was an investor looking from a distance at the financial results of Tucows, I would certainly see the last six months as a step back. However, remember strong financials are preceded by strong execution. Inside the building for last year or so and especially the last six months have been marked by some of the best execution at Tucows that I can remember. We believe performance follows. We built and launched a new email platform and data center and will soon complete migrations from the old system. For investors that means drastically reduced operating cost and much simpler maintenance, which leads to increased customer satisfaction and increased sales. We reduced our pricing for domain registration and changed our pricing methodology, which we have now used to reinvigorate a service that strategically feeds both domain portfolio and email services. With Domain portfolio services we changed the way that registrars create value out of domain registration, by positioning ourselves to not only take advantage of revenue growth but also to create a long-term asset in the domain name portfolio. We are nearing the beta date of launch of our new retail platform, which will combine three different unrelated brands under one new brand, creating immediate opportunities to cross sell and attract new customers with a differentiated offering in a crowded market. On this point, I know that a number of investors and customers of retail services. I wish to note that any of your interested at signing up for the beta, should email the owner or myself and we will be happy to get you in. These are not feel good operating notes, but are important milestones that enhance our ability to grow revenue and cut cost, and will greatly contribute to increased cash generation and profitability right away. This quarter marks the financial trough. The event subsequent to quarter end, like the sale of direct navigation names can give investors real comfort' financial performance improves from here. We are far from finished. We will soon be providing some exciting news about the tucows.com website. We have some other non-strategic assets that we are still looking at realizing value from. Lastly, we have announced today that the Board has reinstated the open market stock buyback program that was previously in place. Despite, the rise in the Canadian dollar, despite the required work we had to invest in email and retail, 2008 will have solid increases I revenue and generation over 2007. Solid financial performance invariably follows solid operational performance. With that I will now turn the call over to operator for questions, operator.
Operator: Thank you. Ladies and gentlemen we will now conduct the question and answer session (Operator Instructions) The first question comes from Thanos Moschopoulos from BMO Capital Markets go ahead.
Thanos Moschopoulos - BMO Capital Markets: Hi, Good afternoon.
Elliot Noss: Hi, Thanos.
Thanos Moschopoulos - BMO Capital Markets: Elliot regarding the hosting customers that you sold off, roughly how much revenue would be associated with that business. If used some back of the envelope math that we saw looking about a $1 million or $2 million in a year. Is that about right?
Elliot Noss: Year closer to your low-end and high-end, we have released the financial details but its pretty easy to find, people pay revenue multiples in this industry at pre-time wage.
Thanos Moschopoulos - BMO Capital Markets: Okay.
Elliot Noss: Your are in the right place.
Thanos Moschopoulos - BMO Capital Markets: Okay, I am just going a bit more deeper into the sales that you made following quarter end I mean, obviously the sale of names will be potentially one of your highest growth areas going forward and still I guess one of the most challenging ones, just try to model for -- outside observers like ourselves, can you provide me a bit more color as to what type of regularity we should expect to see in this revenue streams going forward and may be how the process went in this particular instance, in terms of timeframe, in terms of how the bottom is lined up, in terms of how the names are chosen to be sold, that kind of thing?
Elliot Noss: Sure. So let me start with the good news Thanos. This sale is the start of this being easier to bottom, it is not [very difficult] So, good news there for you. The way this worked is we take a bundle of -- as we talked about in the past we really wanted to bring some regularity to this. So we take a bundle of names that literally are from our perspective, financial assets. So we are really picking a group of names that is going to be not more than X in total and will provide a specific level of revenue that we believe is based on our historical performance. We will then place them essentially in an account that will allow a prescreened group of buyers to follow along through the course of roughly 30 days. They can all watch the names, they can see how they perform, and they can see them using the usual metrics as they as inventory holders are very familiar with. At the end of the process they win.
Thanos Moschopoulos - BMO Capital Markets: Okay. So I guess what gives you confidence that this can become more regular is, you are basically choosing the [batch] size, you are choosing when and how to make the prescreening available. So again as long as you keep in this in sort of a regular basis…?
Elliot Noss: What gives me the most comfort is that the buyers are saying, hey, bring it on, we love more.
Thanos Moschopoulos - BMO Capital Markets: Right.
Elliot Noss: Right more than anything else. We would like to do it on a regular basis. Regular might be monthly, it might be bi-monthly but it is a regular basis where there is always some names under viewing and there are always some names under transaction.
Thanos Moschopoulos - BMO Capital Markets: Okay.
Elliot Noss: We have an inflow of names every month. Right. We think it is appropriate to have an outflow as well.
Thanos Moschopoulos - BMO Capital Markets: Right. Okay. Okay. That is to say it seems there is an appetite there as far as the buyer’s perspective.
Elliot Noss: Look from a buyer’s perspective -- the [joke] in that business, this is a great financial investment. One of the things that we are choosing to do here, I will be explicit about it, who knows, maybe I will take some heat for this. We are certainly selling less than we think our multiple should be in the market, right. So it would be easy for me to just pile up this revenue and kind of hide things a bit. I do not think that is the right long-term approach to value them, right. So these are good financial investments so there'll be no shortage of buyers.
Thanos Moschopoulos - BMO Capital Markets: Okay. Regarding the names that you are holding onto, how far along are we in the process in terms of getting your optimization partner to really go back and optimize the landing pages there. Is that process pretty much complete, or is there still further room for upside as they go back and try to [screws up] more revenue from that?
Elliot Noss: So I think that there is, first of all, always room for upside and tweaking. I would say that big optimizations we have taken advantage of. There is a little bit of optimizing to do on a portion of the inventory, maybe 15 or so percent of it; that really has not been optimized yet. Then you can start looking for more micro opportunities; that can be names that might fall into a certain category that you can get upside returns on that type of things.
Thanos Moschopoulos - BMO Capital Markets: Okay. Just finally on the email business, I guess you covered a lot of this in your prepared remarks. I thought that we would see a bit more growth by this point in time. Again, there is really an issue where you are just waiting for the migration to be complete and once that is done, we should have some of the yields have been in the pipelines start to come to fruition?
Elliot Noss: Well, I think that as much as anything else, migrations are a non-trivial task and they really consumed a lot of the time and effort of everybody. It is not a technology exercise and isolation. Sales account management marketing, those people are all spending lots and lots of time working through the migration. I might say that they have got to prepare customers. They have got to work with customers on specific one-off needs that they might have. The bigger the customers, the most complicated their needs. So it takes up a lot of their energy and time in the. However, on the top of that, I think that we are just starting to get to the place where fruit is ripening in the pipeline. So, we are seeing more deals fall out with more and more regularity. Once we are finished with migrations, then we can really start to turn and focus a bit more on the self-served business, where there are really big opportunities as well.
Thanos Moschopoulos - BMO Capital Markets: Okay, great. Thanks a lot. I will back in line.
Elliot Noss: Thanks.
Operator: (Operator Instructions) Your next question comes from Robert Cavallo from Research Capital. Please go ahead.
Robert Cavallo - Research Capital: Hi, guys. How are you today?
Elliot Noss: Hi, Rob.
Robert Cavallo - Research Capital: Just a couple of quick questions for you. Maybe just taking a step back, looking at, I guess, the G&A costs you are talking in the non-core. Maybe you can just quickly recap those again. I got, I guess, the $135,000 on [cruise ship] that was related to the FX impact. The amortization figure again you stated was, was that $385,000?
Mike Cooperman: That is right.
Robert Cavallo - Research Capital: Then there is a $137,500 from an accrual last year that was there, so I am assuming that means that the $166 last year plus the $137 would be a better?
Mike Cooperman: Would be better compared to.
Robert Cavallo - Research Capital: A better comparison. Okay, so I do have that straight. Ohe on the gross margins, did you indicate the gross margin was going to be lower over the next quarter or two?
Mike Cooperman: No, I said that the impact of the price reduction would have less of an impact in the second quarter.
Robert Cavallo - Research Capital: Okay.
Mike Cooperman: Less of an impact in the third quarter, because the cost reduction occurred in the third quarter of last year so it would have been around for a period of the third quarter, for the full year.
Robert Cavallo - Research Capital: Okay. Sorry about that. I misunderstood. Another quick question, I guess, do you know, can you give me a rough ballpark of the number of domains you have under management at quarter-end?
Elliot Noss: It is a little bit under $6.8 million now and that is direct and then there is another million or so indirect, I think it has been 7 something like that 6, 7, 8.
Robert Cavallo - Research Capital: Okay, it is the high six. Okay, perfect. Then you said up to maybe just under $8 million?
Elliot Noss: Yeah, I think it is 7.9% because you probably get the cake for $8 million ready pretty soon internally of course.
Robert Cavallo - Research Capital: Okay.
Elliot Noss: I was not asking for the cake.
Robert Cavallo - Research Capital: No. Then one last question, I guess, just on the messaging revenue.
Elliot Noss: Yeah.
Robert Cavallo - Research Capital: Could we, I guess start looking for this to grow going forward or just trying to continue that what we see in the last year or so?
Elliot Noss: I think we can look forward to grow going forward I mean there is a possibly that we can have next quarter kind of around the same number, but if we do, that will be because there might be another enterprise customer to trade out that will set off against the ones coming in. However, you are seeing pretty much the floor there. It should grow -- I mean what I know and what I see, it should grow next quarter.
Robert Cavallo - Research Capital: Okay. But, you are saying obviously not necessarily worse case, but this past quarter you are sort of at bottom?
Elliot Noss: Yeah. If it is not, it is really, really close, I mean in terms of dollars, not in terms of time.
Robert Cavallo - Research Capital: Sure. However, the going lets say second half of this year and into '09…
Elliot Noss: It is going to be settled all right.
Robert Cavallo - Research Capital: Okay. That sounds good. I tried shooting everything I had for now.
Elliot Noss: Great, thanks.
Robert Cavallo - Research Capital: Thank you.
Operator: Your next question comes from Aram Fuchs from Fertilemind Capital. Please go ahead.
Aram Fuchs - Fertilemind Capital: Yeah. You mentioned that you are now unhappy with the efficiency of selling direct navigation names. I was wondering if you can talk about the generics, you had previously last year signed up with Fabulous and [After Name] in trying their premium.
Elliot Noss: Yeah.
Aram Fuchs - Fertilemind Capital: Is that working well, I thought Fabulous consummated a pretty generous deal towards GoDaddy; to use GoDaddy's retail call centers. What other interesting ideas are out there, that can help us?
Elliot Noss: So there we are deeply engaged and the difference between retail and wholesale is in getting our biggest customers to start selling it and we are sold on it; we think that it is demonstrable based on what is going on with GoDaddy in a couple of the other retailers out there that there is very nice money to be made there. We now have to go through the exercise of having our sales folks be able to help our customers learn how to sell it. So it is just that indirect is holding it up but there is some very specific programs that are focused on just that kind of coming in the second half, that June, July timeframe. I think when you are talking about those premiums, those gems, those brandables, there we are going to see a more immediate financial impact on selling them ourselves directly out of the inventory, with some of the efforts that I talked about with direct sales being put against that. Those are just very, very lucrative transactions. On a $5000 name where we are making 20% that we are splitting with our customers it is $500 on our end for the transaction, When we are selling out of the Gems, it is 50,000 or 100,000 more for transaction. So why you see the more immediate impact and remember the [patent] numbers. We can sell three, four, five Gems a quarter for 10 years and not have problem. Right.
Aram Fuchs - Fertilemind Capital: Right. So there is some sort of other arbitrating line between pushing that to retail partners and then the Gems right. Is that what we are going to use there; three different strategies there?
Elliot Noss: If it is not baked into there, who is lookup Aram?
Aram Fuchs - Fertilemind Capital: Right.
Elliot Noss: Then it is not effective. Right.
Aram Fuchs - Fertilemind Capital: Right.
Elliot Noss: It is really teaching them to treat that who is lookup, almost like a search is from a marketing perspective and everything about the way that search is commercialized?
Aram Fuchs - Fertilemind Capital: Right.
Elliot Noss: It is changing people's aspects because of not the way they see the Domain name lookup right now.
Aram Fuchs - Fertilemind Capital: Okay, but that is basically the [upside] space there is no other complication, right?.
Elliot Noss: No, no absolutely. That is just, hey put it in your results, here is how you market it. Here is how you deal with the $5000 transaction instead of $15 transaction, Here is all the support that we provide behind it. Then we have customers’ interest. Once you have got them interested then it is okay. That is getting them in the roadmap.
Aram Fuchs - Fertilemind Capital: Okay.
Elliot Noss: Right. However, still -- how are they going to cut.
Aram Fuchs - Fertilemind Capital: And then what can you tell us on the thinking behind stock buyback versus dividend. Is there anything that you can give us color on?
Elliot Noss: I think that both have a place and that it is going to be situational. We got a note that we have got to deal with the end of June, Aram, and you know I think that is going to take precedence to either. Then it is a question of, I would almost call it tactical versus strategic; buyback is tactical, dividend is more strategic. In other words, to go down that dividend road is a very long-term decision. It is not one that where the business in the balance sheet are at this quarter would make a lot of sense. However, I think that both of those have their place.
Aram Fuchs - Fertilemind Capital: Okay, and lastly the data in the retail business, can you talk about what you see in it about the strategy behind, what are you improving there that you think will benefit the retail business.
Elliot Noss: All right. I just want to get you into debate Aram. You are on my target list.
Aram Fuchs - Fertilemind Capital: Okay, I will be there.
Elliot Noss: Excellent and this is in a couple of weeks, you will see. Then next quarter when you come on and ask a question you can tell us how much you like it.
Aram Fuchs - Fertilemind Capital: Okay, good. Thanks for your time.
Elliot Noss: Thanks there.
Operator: There are no further questions at this time. Please continue.
Elliot Noss: Great. Thanks Operator. I look forward to seeing you all next quarter.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your line.